Operator: Welcome to the Fourth Quarter 2022 Earnings Call and Business Update. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. As a reminder, this conference is being recorded. I would now like to turn the call over to Megan LeDuc, Manager of Investor Relations. Thank you. You may begin.
Megan LeDuc: Thank you, Errol. Good morning everyone and thank you for joining Wejo’s business update call to discuss our fourth quarter and full year 2022 operational and financial results. With me on the call today are Richard Barlow, our Founder and CEO, and John Maxwell, our CFO. Remarks made today on this call about future expectations, events, strategies, objectives, trends or projected financial results and other similar items are forward-looking. Forward-looking statements are subject to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Forward-looking statements are not guarantees of future performance and as such should be taken in the context of the risks and uncertainties that are outlined in the SEC filings of Wejo, including our recently filed annual report on Form 10-K as well as other documents filed with the SEC. Forward-looking statements speak only as of the date made and the company undertakes no obligation to update such statements in the future. In addition, during this call we will be discussing certain financial metrics that do not conform to generally accepted accounting principles in the U.S., better known as GAAP. For a reconciliation of these financial metrics to GAAP, please refer to our annual report on Form 10-K filed with the SEC.  Over to you, Richard.
Richard Barlow: Thank you, Megan, and thank you all for joining us on our fourth quarter and year-end 2022 earnings call. First, I’d like to start with some incredible news. I’m delighted to say Wejo has entered into a letter of intent with a new strategic partner anchor investor, committing $20 million in Wejo’s ongoing PIPE financing raise subject to certain closing and other conditions. The liquidity to be raised through this commitment and the closing of the PIPE transaction, combined with the previously announced $57 million remaining in TKB Critical Technologies’ OneTrust, demonstrates great progress towards the $100 million the Company is targeting to raise on its path to cash flow breakeven, which is anticipated to occur in mid 2024.  [Indiscernible] in this economic environment is a major milestone for Wejo and reflects the investors’ confidence in Wejo’s ability to accelerate the business fundamentals as we expand our portfolio of solutions, including traffic, insurance, audience media measurement and fleet management. We will announce more on the deal when conditions are met and the PIPE develops further. As we look back on 2022, we delivered a strong year operationally, and it’s certainly been the case the entire Wejo team delivering on our promises to you. We promised to increase our customer base, venture into new markets and improve our platform capabilities, resulting in strong key performance indicators, or KPIs. Notably, we were able to accomplish all these objectives while significantly decreasing our expenses. From 2020 to 2022, our net revenue grew at 151% CAGR and we expect to grow to over 200% from 2022 to 2024. We told you we were going to broaden our customer base, which expanded from 68 customers as of the fourth quarter of ’21 to 108 customers as of the fourth quarter of ’22. This activity was partially driven by our significant expansion into the public sector, where we landed several major Department of Transportation customers and are seeing the same momentum in 2023.  We also told you we were going to launch our insurance product vertical, and we moved into insurance in a sizeable way by announcing relationships with Ford Europe, which expanded to Ford America. Later on, we signed a co-development agreement similar to a partnership agreement with Sompo, one of the largest insurance companies in Japan.  We also told you we’d expand our platform capabilities. We did so in significant ways. First, we launched our real-time traffic intelligence platform, our first-of-its-kind intelligence product that delivers valuable road traffic insights to both public and private organizations who can put insights to work; And second, we launched our EV intelligence platform of Palantir. Our new platform is able to provide insights necessary to accelerate EV adoption by helping charge point providers and government planners better understand optimal locations for EV charging. This tool can be used by retailers to understand if they should add charging points near their stalls. Additionally, we are working with Palantir’s value platform to penetrate new markets such as audience and media measurement. We have recently expanded our data assets to include infotainment and believe that our platform will create a paradigm shift for advertisers doing extensive research to determine who their audience is, to be able to offer infotainment on a broader basis but with real-time traffic and real-time insights and accuracy. As a result of expanding to new product lines and enhancing our platform capabilities, we delivered strong operational metrics across the Board. For the full year 2022 compared to 2021, our annual recurring revenue was up almost 90% and gross bookings per vehicle were up 97%. We’re truly excited about how our business is building, measured by our full 12-month backlog which has grown every quarter since quarter one 2020, and now at 83% since fourth quarter ’21.  While we are most proud of our ability to make these critical investments while simultaneously lowering our cost structure, we’ve reduced our cash burn rate approximate adjusted EBITDA as a result of our discipline and focusing on our near-term revenue-generating opportunities and working hard to reduce our administrative overheads on operating costs. We have made significant progress throughout the year and expect that 2023 will be an even more exciting year as we capitalize on the traction we gained in 2022. In 2023, we are making a major push to deploy our software stations into the fleet vertical. We’ll be leveraging new partnerships with the likes of Toyota North America to provide connected fleet vehicle data.  Finally, we announced our expanded partnership with Renault Group to provide fleet solutions provider services for remote asset and activity management. All this fleet activity happened within the first two months of 2023, so we are well positioned to make inroads into this new vertical. We believe that the revenue growth we anticipate this year, coupled with our enhanced cost efficiencies and the capital we gain from the expected closing of the TKB transaction in the second quarter this year will fully fund our business through to cash flow breakeven, which we anticipate closing in mid-2024. Speaking of our capital measures and financial performance, I will now hand you over to John, who will be going into more detail. 
John Maxwell: Thank you, Richard, and good morning to everyone. We are proud of our strong operational performance in 2022. Our key KPIs tell a story of traction with a wider group of customers and accelerating momentum in our revenue recognition. ARR is up almost 90% from the end of 2021 and represents a solid base of our 2023 net revenue guidance range, positioning us well for 2023. Our solutions have a compelling value proposition that is driving users to subscribe to our services on a recurring basis. We believe that ARR will be an increasing percentage of our forward revenue forecast as we expand products for our customers. Additionally, we added 40 new customers with growth coming from public sector organizations such as DoTs, from energy companies, real estate firms, delivery companies, mapping entities, retailers, and others. During the year, we were awarded business from Texas, Georgia and Virginia in addition to municipalities like the Chicago Metropolitan Agency for Planning. We expect to maintain momentum in public sector opportunities now that we have a direct selling foothold in that space, but also continue to add customers in retail mapping and other sectors.  We start 2023 nearly $10 million of revenue already on the books from contracted backlog as of the end of 2022. This contracted revenue represents 30% to 40% of our 2023 revenue guidance range. Our probability-adjusted customer pipeline at the start of 2023 also represents another 30% to 40% of our 2023 guidance, so between our backlog and pipeline we have high visibility into our expected 2023 revenue. Gross bookings of $5.3 million in the fourth quarter grew over 70% compared to the prior year period and was supported by 44 unique customers. For the full year 2022, gross bookings increased by approximately 124% to $18.8 million. Our data and our platform continue to be utilized by some of the largest enterprises in the world, including a very large e-commerce provider, large mapping companies, and industry leaders like Ford and Sompo, as well as large government entities like the State of Texas. All of these drivers contributed to our strong net revenue in Q4 of $3.6 million and in the full year of $8.4 million. Full year revenue represents growth of 227% over the prior year. We fell just short of our revenue expectations primarily because of two things: first, the timing of a public sector deal that was awarded in late 2022 but the revenue was not recognized until the first quarter of this year; and second, an automotive SaaS transaction was delayed due to customer budget constraints as a result of the macroeconomic environment we are all facing. We have made two changes to our reporting metrics. We will no longer report gross billings because it is fairly close to gross bookings, adding little value to our discussions. In addition, we have added NRR, or net revenue retention. NRR is our measure of customer success: landing, retaining and expanding existing customer relationships. We will track this closely as we go forward. Our NRR for 2022 of 107% shows that we are retaining customers and growing with them as we add new products and capabilities to help us expand our customer relationships. Based on customer engagement to date, we believe that as we add more products and analytics, we will be able to grow NRR in the future. Full year 2022 Adjusted EBITDA loss was $97 million, just above the high end of our guidance range of $85 million to $95 million. This slight variance is a result of a modest shortfall in revenue and the accrual of some future contractual obligations related to a cloud vendor. We made significant reductions in expenses, enabling improvement in our Adjusted EBITDA loss guidance by at least $15 million from what we had originally estimated at the beginning of 2022. We prioritized our near term growth opportunities, focused on better management of administrative, data and cloud costs, and prioritized the most critical investments in timely and profitable revenue generation ideas.  Our operating cash burn as measured by Adjusted EBITDA was just under $6 million per month as we exited 2022. We expect further reductions to our cash burn rate over the course of this year and we expect to exit 2023 under $3 million per month. We believe that this progress positions Wejo to be cash flow breakeven by mid 2024. Based on the progress we have made in 2022, a strong starting commercial position for 2023, and a continued trajectory of growth, we expect net revenue in the range of $20 million to $30 million for 2023. We believe that strong revenue growth will be driven by expansion of our customer base and traffic in automotive SaaS, and the addition of end-to-end insurance and audience and media measurement products. At the midpoint of our 2023 revenue guidance range, we expect to grow nearly 200% over 2022. We are confident in our revenue guidance for 2023 because we have already booked $10 million of contracted revenue for the year, which is represented by our next four quarters of backlog runoff. After completing a few state DoT deals, we now better understand the sales cycle for public sector contract awards and we believe we will win a substantial number of awards in 2023. Additionally, we have a strong pipeline which on a probability-adjusted basis represents another 30% to 40% of our 2023 revenue goals. Our pipeline is made up of a rich opportunity set in our new and existing marketplace products, as well as automotive SaaS deals that tend to take longer to win and onboard but add significant revenue once they are won. While we are off to a great start in 2023 and feel confident in our annual guidance, there are a number of factors that may impact our revenue performance quarter to quarter, including the timing and amounts of large insurance contracts and SaaS deals. As we gain clarity on contract structure and timing, we may adjust or tighten the range of our revenue guidance as we progress throughout the year. At this time, we have taken significant steps to manage our cost base and to be as efficient as possible. About a week and a half ago, we announced that we were reducing costs in our workforce facilities and to other areas, and that we were very focused on driving contribution margin growth along with revenue growth. This enabled us to further improve our 2023 Adjusted EBITDA loss guidance by about $15 million to the range of $45 million to $55 million. This positions Wejo to have positive Adjusted EBITDA following the first half of 2024. Capitalizing the business is a critical goal of Wejo, and we are targeting being fully capitalized by mid 2023 with more than enough capital to get to our expected cash flow breakeven point in mid-2024. While we build towards our long term capital strategy, we have been raising smaller amounts of capital and continue to work on a capital bridge to get us to the expected closing of our PIPE and the TKB business combination currently expected in June. We are exploring several different paths with investors and will continue to update the market as they develop. With the TKB business combination, the PIPE and raising bridge capital, we are targeting a raise of over $100 million net of transaction costs. Based on our progress to date in developing a PIPE and the TKB trust of $57 million, we believe we are more than halfway to this capital raising goal. As previously stated, the TKB trust is subject to redemptions, although we believe our novel strategy will result in fewer redemptions than is typical in the market. We are very focused on building a profitable, high growth business and reaching cash flow breakeven by mid 2024, assuming revenue and cost reduction goals are met. Our progress in 2022 along with recent announcements about our reduced burn underscore that focus. We also believe that full capitalization of the business will unlock significant value for our shareholders. Now I will pass it back to Richard for his closing remarks.
Richard Barlow: Thank you John. As I mentioned at the start, we continued to expand our platform throughout 2022, and I believe the momentum we gained this past year will carry us into 2023. Wejo is at an inflection point in the business and is well positioned to capitalize on the significant market opportunity that sits in front of us. Enhancement of our platform through scalability will enable us to accelerate our expansion into new markets. We expect that the more reusable our platform becomes, the faster and more profitable we can deploy it in new areas of opportunity. The network effect of more product solutions across more verticals will appeal to a broader base of customers and more customers buying more products and services will enable greater revenue. That’s why we are guiding to nearly 200% revenue growth in 2023 at the midpoint of our guidance. We believe the scale of our reusable platform will enable operational efficiencies that will also help lower our cost structure and drive better margins. Before we close out this earnings call, I’d like to reiterate some of the key points that John and I have made. These include: we’ve already secured $10 million in backlog for 2023. This puts us on target to achieve net revenue in our guidance range of $20 million to $30 million in 2023. We have been raising smaller amounts of capital and are working on a capital bridge to get us to the expected closing of the PIPE and the TKB business combination. We are on track to close the business combination with TKB in late second quarter of 2023, this year. TKB has already retained $57 million in trust and we are well on our way in raising a PIPE with a newly announced $20 million strategic anchor investor.  Thank you for joining this call. John and I will now take questions. Thank you. 
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator instructions] As a reminder, if you would like to ask a question, please press star, one on your telephone keypad. Our first questions come from the line of Jeff Meuler. Please proceed with your questions.
Jeff Meuler : Yes, thanks. It’s Jeff Meuler at Baird. The $20 million, it sounds like we’ll get more details later on who the investor is, but just anything further you can say at this time? Is it a new investor to Wejo? Is it an existing commercial partner or not? And then just what is the investment contingent upon?
John Maxwell: So it’s a new investor, and we’ve got -- the conditions are really something that we’re not yet publicly disclosing, but they’re generally around the relationship that we have and also assuring that we can raise an adequate amount of capital, which we’re very confident that both of those are going to be things that we can do. We’re very excited about where we’re headed from a PIPE perspective. We have a lot of very strong dialog going on, not just this LOI but a lot of other good dialog, and feel that we’re headed towards a good close of the TKB business combination and the PIPE once all the pieces fall into place.
Jeff Meuler: Got it. And then the 2023 guidance, you gave us a lot of detail on what’s contracted, what’s from pipeline, et cetera. There was various references to some of the end markets throughout the commentary as well. Can you just help me, like are you expecting at all a meaningful contribution from, like insurance or media measurement? Or is this mostly continued build-out of traffic, auto SaaS, and then it sounds like increased fleet contribution?
John Maxwell: Yes. We have very strong dialog in the insurance sector. I know we talked a lot about that last year, but we’re down now to the detailed process of customer and obviously the data relationship negotiations. We have multiple customers on the insurance front, and so we do expect that this will be the year. Obviously, there’s lots of details to work out as you basically introduce a new product, which we are in the midst of doing and are very excited about where that’s headed.  On the audience front, we have now, as we talked about late last year and early into this year, we added millions of vehicles of data in the infotainment space, which really gives us now the capability to really fully launch that. There’s great customer dialog ongoing, there’s really interesting product development underway as well, all of which will go to support that revenue, so we expect that both of those categories will contribute meaningfully to our 2023 revenue.
Jeff Meuler: Got it. On NRR, 107% is lower than I would think at this scale level and with the land and expand motion. Can you talk through that, like any offsets that I should be cognizant of, like any SaaS agreements that there was one-time revenue, or just anything to bridge, I guess, why it’s not higher than 107%.
John Maxwell: I would say that as we increase our SaaS type offerings in our product set, as you know, our first couple of years were really primarily a data licensing relationship. The key to having a higher NRR, and we’ve done a lot of benchmarking and studying on this, is really ultimately it’s those capabilities that customers will expand on. We do have a good expansion set with customers. We see that going increasingly out. And so what we do is we measure the beginning of the year customers on January 1, how do they do all year long, did they increase, decrease, did they leave. We have very few leavers, by the way, and typically it’s because they’ve changed the business strategy in a couple of cases where they’ve gone out, but we have very, very high sort of core retention, and then we add capabilities as we progress.  We believe that as we move forward on product development, you’ll see that number actually rise, but we feel good about that number as to where it is.
Jeff Meuler: Okay. And then on the further reducing the burn rate and the announcement from last week, can you just help me with where are you on actioning those expense saves? Just trying to understand how quickly you expect to get down to that $3 million or so monthly burn rate.
John Maxwell: Yes. So we’re – we’ve actually - on the people side, we’ve taken the actions that we need. It was a combination of contractors and existing employees. We’ve notified employees at this point, and we would expect that the full effect of that will be felt starting in the third quarter. We’ve also -- we are in the process of moving to a nearly virtual, not 100% virtual, but nearly virtual office infrastructure. Certainly, we’re going to have meeting space and capabilities for people to meet because that’s important, but the main infrastructure will reduce. And then we really looked hard at the way that we are onboarding things like data and the impact that that has on cloud, and just took another really hard scrub. We have also taken a hard look at the way we’re pricing to make sure that we’re pricing for the maximum effect in the market, and all of those things really are either being implemented now or have already been implemented, so we’ll start seeing the effect, I would say by third quarter. Certainly, second quarter will improve a little bit, but third quarter will improve a lot and by the fourth quarter, with that combined with revenue growth, we’ll really see significant improvement.
Jeff Meuler: Got it. And then I recognize that you’re prioritizing spend on - or more near-term revenue opportunities, but just as you manage the expense base, what are the more kind of ambitious initiatives or beyond 2024 revenue opportunities that you’re prioritizing, I guess, maintaining some level of investment in?
Richard Barlow: So we continue to do modest investments in edge-based technology and the processing of data. We believe the combination of edge-based processing of data and the synthetic build of a data asset continues to be highly relevant in automotive, especially as now AI is becoming more important. So we maintain some modest investment and we expect that to have a benefit for us at the end of ’24 and beyond. So what we call neural edge, we continue to do some modest investment and get an interesting amount of demand from OEMs.
Jeff Meuler: Got it. Thank you.
Richard Barlow: Thank you, Jeff.
John Maxwell: Thanks, Jeff. 
Operator: Thank you. There are no further questions at this time. I’d now like to hand the call back over to Management for any closing comments.
Richard Barlow: Thank you all for joining us today. I hope you’re excited by what we’ve demonstrated as a business by scaling revenues, by cutting costs and sourcing capital in a tough environment. We look forward to having further questions from you after this call. 
Operator: Thank you. This does conclude today’s teleconference. We appreciate your participation. You may disconnect at this time. Enjoy the rest of your day. 
Richard Barlow: Thank you.